Operator: Good morning, ladies and gentlemen, and welcome to the BK Technologies Corporation Conference Call for the Fourth Quarter and Full Year 2023. This call is being recorded. [Operator Instructions] There is a slide presentation that accompanies today's remarks, which can be accessed via the webcast. At this time, it is my pleasure to turn the floor over to your host for today, John Nesbett of IMS Investor Relations. Please go ahead.
John Nesbett: Thank you. Good morning, and welcome to our conference call to discuss BK Technologies results for the fourth quarter and full year 2023. On the call today are John Suzuki, Chief Executive Officer; and Scott Malmanger, Chief Financial Officer. I'll take a moment to read the Safe Harbor statement. Statements made during this conference call and presented in the presentation are not based on historical facts that are not based on historical facts are forward-looking statements. Such statements include, but are not limited to, projections or statements of future goals and targets regarding the company's revenue and profits. These statements are subject to known and unknown factors and risks. The company's actual results, performance or achievements may differ materially from those expressed or implied by these forward-looking statements, and some of the factors and risks that could cause or contribute to such material differences have been described in the company's press release and in BK's filings with the Securities and Exchange Commission. These statements are based on information and understandings that are believed to be accurate as of today, and we do not undertake any duty to update such forward-looking statements. Okay. I'll now turn the call over to John Suzuki, Chief Executive Officer of BK Technologies. Please go ahead, John.
John Suzuki: Thank you, John. Thank you, everyone, for joining today. I'll start by reviewing some of the highlights of our operations and financial results during the quarter fiscal year. Then I'll turn it over to our Chief Financial Officer, Scott Malmanger for a deeper dive into our financial results. We'll conclude by opening up the call for a brief Q&A. Turning to Slide 3. Our 2023 fiscal year was highlighted by strong revenue growth and margin improvement. 2023 marks our second consecutive year of revenue growth with full year revenue increasing 45% to $74 million and we capped off the year with a profitable fourth quarter that included earnings of $0.08. Driving this growth was the performance of our BKR series radios. We shipped 34,500 radios in 2023, a 37% increase over 2022. Our BKR5000 single band radio is enjoying strong market demand as federal, state and local customers upgrade their portable communications technologies. And likewise, our newly launched BKR9000 multi band radio continues to gain recognition and traction. While the multi band capabilities of the BKR9000 drive a higher price point, there is only a nominally higher cost to manufacture the 9,000 as compared to the BKR5000. So we believe the 9,000 can significantly enhance our margin as it continues to gain popularity among our customer audiences. The fourth quarter of 2023 marked our sixth consecutive quarter of sequential gross margin improvement to 35.1%, a return to historical levels. And we achieved full year gross margin of 30% compared to 19.3% in 2022. As announced last year, we are in the process of shifting the manufacturing of our radios to east west manufacturing. We believe that outsourcing our manufacturing and transition to a more asset light model will improve our margins in the long-term by simplifying our supply chain management and reducing production expenses and end product costs. East West is an existing reliable partner and this transition is an important strategic step for our business that we believe will help us to ensure efficient fulfillment of purchase orders and strengthen our margins over time. The move to East West is underway and will take place in planned stages with no expected interruptions in production or shipping capabilities. Under the terms of the agreement, East West has also made an aggregate $2 million investment in BK Technologies that consists of the purchase of 77,520 shares of the company's common stock at a price of $12.90 per share, as well as warrants to purchase 135,500 shares of common stock at an excise price of $15 per share. The East West Investment closed in the fourth quarter of 2023 and we appreciate their vote of confidence in our company. Turning to Slide 4. We continue to grow the amount of radio units shipped annually. And as a result of increased shipments, we recognized strong revenue growth in 2023. As I mentioned before, we saw a 37% in radio unit shipped in the full year 2023 compared to the full year of 2022 and revenue growth of 45% compared to the prior year, driven by a combination of increased radio shipments as we work through the backlog that accumulated during the supply chain constraints in 2022 and significant order activity related to the BKR product-line. At the beginning of fourth quarter, we received a purchase order for our BKR9000 from the State of Hawaii Department of Health as they battled the wildfires. Another large purchase order from Sandoval County valued at $963,000 which as I said last quarter, we defined as a Tier 3 County in terms of population density. Also in the fourth quarter, we received a $315,000 purchase order from the United States Department of Defense, representing the BKR9000 growing recognition among federal and military agencies. This order activity has continued in 2024. In January, we received a purchase order from the Arkansas Department of Agriculture and Forestry Division for 87 BKR9000 radios, which are compatible with the Arkansas P25 system, allowing the Forest Division to standardize on a single radio model across all operations. I'm pleased to say that we've already completed shipment of this order and the customer subsequently increased their order to more than triple the initial amount. We also received an order for 315 BKR9000 from Boulder County, Colorado, as part of an upgrade program to replace a variety of older radios for 26 fire agencies throughout the county. This order especially -- is especially exciting because Boulder County is a Tier 2 County with over 300,000 residents, showcasing the 9000's ability to penetrate larger markets. Turning to Slide 5. 2023 was characterized by a consistent gross margin improvement and a return to the lower end of our historical margin levels as we closed out the year with the fourth quarter gross margin at 35.1%. This was our 6th consecutive quarter of gross margin improvement dating back to the second quarter of 2022. When supply constraints severely impacted our margin profile. We continue to advance our cost reduction initiatives and believe that our transition to contract manufacturing coupled with the higher margin BKR9000 radio becoming an increasingly larger part of our product mix positions us well to continue improving margins in fiscal 2024. Now, I'll turn over to Scott Malmanger, CFO to take you through the financials. Scott?
Scott Malmanger: Thanks, John. On Slide 6, you'll see a summary of our financial and operating results for the quarter full year ended December 31, 2023. Sales for the fourth quarter totaled approximately $16.3 million, compared with $20.3 million for the same quarter last year, primarily due to the record radio unit shipments in the fourth quarter of 2022. Last year's fourth quarter revenue performance was significantly impacted by improved electronic component availability, which allowed the company to work through substantial backlog developed during the first 9 months of 2022. Full year 2023 revenue increased 45% to $74.1 million, compared to $51 million for the full year of 2022. Gross profit margin in the fourth quarter of 2023 was 35.1%, which as John mentioned, represents a return to historical levels compared with 21.7% in the fourth quarter of last year. For the full year of 2023, gross margin increased to 30% compared to 19.3% for the full year of 2022, primarily related to decreased material, component and freight costs due to improving supply chain factors. Selling, general and administrative expenses or SG&A totaled approximately $5.3 million for the fourth quarter compared to $6 million for the same quarter last year. SG&A for the full year of 2023 totaled $23 million, compared to $20.9 million in 2022. SG&A costs were higher on an annual basis due to engineering and product development expenses related to the continued design and development of the BKR series and the introduction of the BKR9000 product to the market. We expect SG&A expenses to decrease as a percentage of sales going forward. Operating income totaled $400,000 in the fourth quarter compared with an operating loss of $1.6 million in the fourth quarter of last year. We recognized an operating loss of $777,000 for the full year of 2023 compared with an operating loss of $11.1 million for the full year of 2022. In the fourth quarter of 2023, we recorded net income of $290,000 or $0.08 per basic and diluted share compared with a net loss of $961,000 or $0.28 per basic and diluted share in the prior year. For the full year, we recognized a net loss of $2.2 million or $0.65 per basic and diluted share compared with a net loss of $11.6 million or $3.44 per basic and diluted share in 2022. On a non-GAAP basis, we also provided in our earnings release tables for adjusted EPS, which adds back net realized and unrealized gain or loss on investments, stock-based compensation expenses, severance and a new product introduction inventory write off. Adjusted net income for the fourth quarter of 2023 was $650,000 or $0.19 per basic and diluted share compared with a loss of $603,000 or $0.18 per basic and diluted share in the fourth quarter of 2022. For the full year of 2023, adjusted net loss of $52,000 or $0.02 per basic and diluted share compared to a loss of $9.6 million or $2.85 per basic and diluted share for the full year of 2022. We reported adjusted EBITDA of $892,000 in the fourth quarter of 2023 compared to adjusted EBITDA of $436,000 in the fourth quarter of 2022. For the full year of 2023, we reported an adjusted EBITDA of $130,000 compared to an adjusted EBITDA loss of $9.1 million for the full year of 2022. Finally, as of December 31, 2023, we have approximately $3.5 million of cash and cash equivalents and no long-term debt. Working capital at December 31, 2023 was $16.8 million compared with approximately $13.2 million at the year-end 2022. From a liquidity standpoint, we believe that our current cash position combined with the anticipated cash generated primarily by radio sales and borrowing availability under our credit facility, provides us with the working capital that we need to grow our business. I will now turn the call back over to John.
John Suzuki: Thanks, Scott. Turning to Slide 7, we want to take some time on this call to provide our outlook for 2024 based on the visibility that we have today. With our backlog now normalizing at $16 million from the peak of $42 million in September of 2022, we expect 2024 revenue to be consistent with 2023 levels, but with an improved margin profile. Our cost down programs are continuing and should contribute to incremental margin improvement through 2024, especially as we transition our manufacturing to East West. Moreover, the higher margin BKR9000 is expected to have a positive impact on our gross margin as this product continues to gain market recognition and becomes a more prominent part of our product mix. Overall, we are optimistic about the upcoming year which should be characterized by expanding gross margins, lower operating costs and significantly improved profitability and free cash flow. With the visibility we're seeing today, we believe that we will be able to achieve earnings per share of at least $1.50 for the full year 2024. Turning to Slide 8. When I joined the company in July of 2021, I stated that BK is on a path to grow revenue from the low-40s to $100 million by 2025. My statement was based on our investment strategy to develop a new generation of radios, the BKR series. First introduced in the fall of 2020, the BKR5000 single band portable radio quickly established sales growth momentum and was the primary driver fueling our ability to achieve full year 2024 revenue of $74 million. Last summer, BK launched its first multi band portable radio, the BKR9000. Initial market response has been positive with first responders testing the BKR9000 in their most difficult operating conditions. Radio performance is meeting the high standards of first responders while the look, feel and audio quality are exceeding expectations. For years, the public safety market has been calling for an affordable multi band radio. We believe that the BKR9000 answers that call and will fuel BK's next stage of growth to support our goal of $100 million in revenue by 2025. Looking beyond 2025, we're also focused on establishing products and services that will open up additional verticals that we can leverage and enhance our offerings beyond traditional communications technologies. Our SaaS business unit has demonstrated promising early results through its InteropONE offering and we believe that this part of our business represents an attractive long-term opportunity that will complement our traditional hardware model. BK Technologies has established a reputation as a premier provider of communications technology to the public safety and critical communication markets. And that reputation continues to grow. With a steady improving margin profile and an innovative product line that has demonstrated the ability to capture market share across a wide range of customers in public safety communication space, we believe that we are well positioned with momentum to continue driving results in 2024 and beyond. Before I open the call for questions, I would like to remind everyone that we will be attending the 36th Annual ROTH Conference at the Ritz-Carlton in Laguna Niguel, California, March 17 to the 19. If you're attending the conference, please feel free to reach out to us via the contact information at the bottom of today's press release or sign up to the conference for one-on-one meetings with Scott and myself. With that, we'll now open up the call for questions. Jen?
Operator: [Operator Instructions] Our first question is coming from Brett Reiss of Janney Montgomery Scott.
Brett Reiss : I don't know if you can answer this, but I'll ask it. The guidance of $1.50 earnings per share for calendar year 2024, what range of EBITDA and free cash flow would that translate into?
Scott Malmanger: I'll try to answer that and John can fill in the blanks. Basically our gross margins are trending in the right direction and have been for several quarters. We are also continuing with our cost down programs and the higher margin BKR9000 is becoming a larger part of our product mix and will further enhance the margins. If you just take the math of 35% gross margins on the revenues in the 70s and use existing SG&A as a percentage of sales, you should get close to the $1.5.
Brett Reiss : So I take that $1.5 times the amount of outstanding shares and that's my EBITDA number?
Scott Malmanger: Yes, that's going to be in the range, yes. Net income.
Brett Reiss : With respect to the cadence and the handoff in manufacturing to from us to East West. Seems like it's going along very well and smoothly do you see a continuation of that? Or can there be any hiccups? Does anything keep you up at night with respect to that relationship?
John Suzuki: So first, I will say on our last call, we said that the transition will take place between the first quarter and the third quarter of this year. We're well into the first quarter, and I would say the transition is going very well. That being said, right, what keeps me at night is what you don't know. So the team has done a lot of work to mitigate risk. Part of that was building up our inventory. I don't know if you noticed, we had a fairly high inventory at the end of the year, especially in the finished products and the WIP. The purpose of that was to ensure that we would be able to continue to make our deliveries in the first quarter in the event that there were any hiccups. So far, as we close out the first quarter, the transition project has actually had a plan for the products that we had planned to transition in the first quarter. But I'll talk about that more, when we get to our first quarter call.
Brett Reiss : Thank you for taking my questions. I will drop back in queue. Good results. Thank you.
Operator: [Operator Instructions] Our next question is coming from Aaron Martin of AIGH Investment Partners.
Aaron Martin: On the progress especially on gross margin can you give us basically quality statements around the gross margin and improvement? Can you give us more quantitative statements about where there is more gross margin improvement as we go into the calendar year?
John Suzuki: Well, yes, I think I'll try to answer that. Basically, the margin improvement was incremental over 2023 and that's kind of our baseline. We've returned back to historical levels. And we've got a number of initiatives, cost reduction initiatives on the different product lines that will continue through 2024. And then the mix profile with the BKR9000 will continue to improve the margins incrementally throughout 2024 and 2025 as the BKR9000 is a larger perform percentage of our revenue base.
Aaron Martin: When I look at the 2024 as a percentage of the overall shipments, what percentage should we assume the 9000 will be?
John Suzuki: Aaron, we're not providing that information. When we launched the 9000, I had said that we were not going to give details on mix for competitive reasons. And again, I'll reiterate, we have enjoyed with the 5,000 and our previous generation products, a market that has been very loyal to BK where we enjoyed 95% market share. The market that we're now entering is heavily contested with a number of competitors. And we're taking market share, right? So I don't need to spotlight that more than what I'm doing in our press releases. But to say that the market is very large is a correct statement and I believe that we are taking market share.
Aaron Martin: And then, on the guide for $1.15 EPS, that's GAAP EPS? Or I mean, you started this quarter giving off non-GAAP numbers, what the guide is which?
Scott Malmanger: The guide is on GAAP EPS, yes.
Aaron Martin: And then just as the first quarter you started reporting non-GAAP. Can you go into a little bit of the differential there?
Scott Malmanger: Well, yes, I think the inclusion of non-GAAP measures is going to help the investors better understand our strategic and operational factors associated with the company's financial performance. We won't provide this information and we believe that adjusted EBITDA free cash flow and non-GAAP free cash flow and non-GAAP EPS are the best representations of the business. So that's the reason that we started to use non-GAAP measures.
Aaron Martin: And what was the non-GAAP EPS number in this quarter, in the Q4?
Scott Malmanger: $0.19.
Aaron Martin: So if I were to try to extrapolate that on the guide, it's a $1.50 of GAAP EPS would be what in non-GAAP EPS?
Scott Malmanger: I don't think we'll provide guidance on that.
Aaron Martin: So let's go in this Q4 in terms of the -- I assume you have a reconciliation of the GAAP to non-GAAP EPS. What was the difference there is the depreciation?
Scott Malmanger: Yes. It's going to be depreciation and that's for the EBITDA. For the GAAP measures, the stock comp, severance and inventory write down or the adjustments for EPS. Yes.
John Suzuki: Aaron, it's detailed in that table in the press release. We actually don't have it in front of us. So Scott's going by memory here.
Aaron Martin: And then in terms of InteropONE, what can you tell us in terms of the number of agencies using it? Kind of give us some qualitative stuff, but what can you tell us about where it's being used and are we seeing yet any sort of cross selling between that and your existing hardware business?
Scott Malmanger: Yes. So that's actually the area I would definitely highlight, right? I think if you looked at the existing customer base with the 5,000, there's definitely interest in InteropONE. We had some trials. U.S. Forestry and Bureau of Land Management, the federal level had some trials. And they do see this capability having value. That being said, for where they operate, they tend to have no cell phone coverage. And so they're really looking for that low earth orbit satellite system that's going to be put out where you have satellite direct to cell phone service and that we're still a little bit early in that market. But for those types of customers, they're really looking for that service to be available to provide coverage obviously in areas where there's no coverage today. In terms of where we're seeing the most traction is really with the BKR9000 customer. So pretty much every customer who has purchased the 9000, we've talked to them about InteropONE. And all of them find that service, as an added value to their business. So most recently, the larger ones that we got, Sandoval County in the Q4 timeframe when we went to make the deliveries for the 9000. We had our team there. So over 200 radios, I think, we delivered to them. And we took the opportunity, right, to introduce them to InteropONE. And immediately, they saw the value, of that service and they've been in field trials since then. More recently, Boulder County, same story. So pretty much every customer we talk to around the 9000, there's a tie in with InteropONE. And again, it's a little bit different operation. They tend to be more around the cities and the suburbs and the need for broadband is something that they're using today. So that lot of their officers already have smartphones deployed. So that was very encouraging for us, as we see that. And we do believe that these are complementary services. They don't replace each other, but having both services, the 9000 and InteropONE certainly adds to our story of why you should choose the 9000.
Aaron Martin: Now going back to the gross margin, is it fair to say that, I mean, there's some of the stuff in the gross margin improvement in the earlier quarters, your 6 quarters of improvement was really just getting rid of some of the supply chain, higher cost stuff and you were expediting stuff and all that. Is it fair to say all that is finished and now it's a question of cost downs?
John Suzuki: Yes. I will expand on that a little bit, Aaron. Some of these cost ends as we go forward with East West, right? We're more able to vertically integrate the sub-assemblies into the East West manufacturing operations avoiding that 2 stepping. And so as they take more control of the full product, the cost of the product will go down over time.
Aaron Martin: Though as you did mention, you do have very high inventory going into this into the year. Do you still have some of the high cost inventory sitting there on your balance sheet, which will keep the gross margin slightly lower while it's running through the balance sheet?
Scott Malmanger: Aaron, I would say there's some, but I would say it's minimal. I would say it's not material or not significant.
John Suzuki: Yes, especially from the 2022 timeframe.
Aaron Martin: So lastly though, I think Scott you said before in regards to the question about the guidance, if you just take the current revenue run rate to mid-70s, put a 35% gross margin on it, you essentially get and the same operating expense levels, you essentially get $1.50 in EPS. So I'm trying to reconcile that with the call for continued gross margin improvement. And so even let's say revenue does not grow, which put that as it is, shouldn't we if 35% of the baseline going into the quarter going into the year. And I mean, I don't know what how much improvement we're talking about, but $1.50 seems conservative if there's going to be gross margin improvement. Is that accurate?
Scott Malmanger: I like a conservative measure.
Aaron Martin: But my math is correct?
Scott Malmanger: Your math is correct.
Operator: Well, we don't appear to have any further questions in the queue. I'm now going to hand back over to the management for their closing remarks.
John Suzuki: Thank you, Jen. Thank you all for participating in today's call. We look forward to speaking with you again, as we report our Q1 results. All the best to all of you and have a great day.
Operator: Thank you very much, John. This does conclude today's conference. You may now disconnect your lines and have a wonderful day. Thank you for your participation.